Operator: [Call Starts Abruptly] earnings conference call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Conrad Grodd, Vice President of Investor Relations. Conrad, you may start your conference call. 
James Hart: Thank you, Andrea and good afternoon, everyone. Welcome to our second quarter fiscal 2020 conference call. With me today are Howard Lerman, CEO of Yext, Steve Cakebread, CFO and Jim Steele, President and Chief Revenue Officer. Before we begin, I would like to remind everyone that this call may contain forward-looking statements, including statements about revenue and non-GAAP net income guidance, margin, revenue retention market opportunities, capital expenditures, business performance, financial outlook and other non-historical statements as further described in our press release. These forward-looking statements are subject to certain risks, uncertainties and assumptions, including to those related to Yext's growth, evolution of our industry, product development and success, market opportunities and general economic and business conditions. We undertake no obligations to revise any statement to reflect changes that occur after this call. Descriptions of these and other risks are discussed in our reports filed with the SEC. During the call, we will also refer to non-GAAP financial measures. Reconciliations with the most comparable GAAP measures are also available in our press release, which is available at investors.yext.com. With that, we will begin by turning the call over to Howard.
Howard Lerman: Thank you, Conrad. Hello and everyone welcome to our second quarter earnings call. We are pleased to report another solid quarter for Yext. I am excited to share our quarterly highlights driving these results. Revenue grew 32% over the second quarter last year and it exceeded the high-end of our guidance. Unearned revenue during the quarter grew 42.4% year-over-year and the number of structured facts which is an indication of engagement and usage grew more than 60% from the year ago quarter.  We continue to see some of the best known brands in the United States, Europe and Japan choose Yext. During the quarter, we signed contracts with leading brands like Travelers, Liberty Mutual, UCLA Health, MAC, Big Lots, Versace and Lloyds Pharmacy. We also signed expansions in renewal with big customers like FedEx, AT&T, Baskin Robbins, Metro PCS and BBVA Compass.  In fact, last week, we signed a contract with my favorite broccoli cheddar soup maker Campbell's. This is the first time in our company’s history that we’ve closed a contract with a CPG company that’s consumer product goods that doesn’t have any physical store location. Now how were we able to sign a CPG company with no physical store locations? One simple word, search. Search is changing from links to answers and because it is people are being retrained to ask longer questions instead of just typing in simple keywords.  They are not only asking longer questions, they are also asking questions in more [places] [ph]. The fact is that today’s customer journey starts with a question and if a brand doesn’t answer a question, someone else will. So what do you need to answer questions? What you need is a knowledge graph and this is a structured data base that contains facts in their relationships in a way that can efficiently be surfaced to answer a question.  It turns out Yext powers the knowledge graph for every one of our clients and collectively, these contain more than 200 million structured facts and that gives us a huge head start and be able to deliver a breakthrough new search product which we call Yext Answers.  Let’s take a step back. Today’s site search products are not that smart and are not that useful. Most sites when you see that magnifying glass, you type in a query and you get junky results. Try it for example. Go to Procter & Gamble’s website PG.com.  Now the very first search results for their popular product if you search for Tide, just type in Tide and it gives you a Vietnamese result. You can’t find what you are looking for.  And when the user gets a result like this, they just go back to Google and it means Tide lost control of the customer journey and that the user is likely to see competitor ad. Yext Answers is a breakthrough new site search product that delivers a Google-like experience for every company. It gives you answers not links.  The user types in a question on a company’s website and Yext answers the question, kind of like Google does, except it’s all controlled by their brand and built on a brand’s knowledge graph.  It’s simple to install and every single business with a website can use it. And we are already seeing strong demand. It’s in early access right now, but already by the end of Q2, we sold eight Answers-led deals and that’s pretty impressive considering we are still in early access.  Now like Campbell’s, we signed a large healthcare company to Answers. The number one used case in visiting a health system website is to find a doctor and these are the kinds of questions that Yext answers. Answers is the latest expansion of our platform. With Answers, we’ve got three products that’s in the knowledge graph, Answers, Listings and Pages.  We’ve got Answers, we just talked about that delivers a site search experience on Yext customers’ websites where customers can search the knowledge graph and get answers. Pages lets Yext customers create a page for every answer, which is a best practice for ensuring the right information shows up in the search engine.  And Listing integrates the data in a knowledge graph directly into 150 voice assistance map apps, third-party services like Google and Amazon, Bing, Facebook and many more.  And because the market opportunity is so large, we think that Answers is going to be a natural entry point for many companies. It’s essentially available to any company with a website; it’s no longer limited to physical locations.  This will significantly increase our total addressable market. We are launching Answers in general availability at Onward. I am so excited to share more details about Answers on our next earnings call.  With our mission of perfect answers everywhere, Yext is leading brands into the future of search. We’ve been doing this for more than a decade. We always have and we always will. And with that, I will turn it over to Jim. 
Jim Steele: All right. Thanks, Howard. We continue to build momentum across the business in all geographies, vertical markets, enterprise and in mid-markets. We continued to win new business this quarter closing over 90 deals with at least a $100,000 in contract value and ten deals that resulted in at least $1 million in total contract value including new logos and renewals of existing customers, versus seven deals the same period last year.  International did exceptionally well in Q2 and our investments in Europe and Japan are starting to pay dividends. In Europe, we added big logo names such as Calzedonia, Versace, TEDi, Arcadia Group, and Diageo and significant expansions at IWG Regus, Philip Morris and Barmenia. Japan’s most impactful deal of the quarter was PLENUS, one of the largest food service companies in Japan.  With international revenue only 17% of total revenue in the quarter, there is still much to go after. Along with our international investments, we continued to build an investment enterprise in with market sales teams commensurate with the opportunity we see ahead.  Total quota carrying sales reps increased nearly 35% year-over-year to 203. And under Patrick Blair’s leadership we made significant progress in building out our mid-market team where we are attracting the best people in the business to build a solid foundation.  And speaking of attracting the best to the team, I am pleased to announce that we hired my former colleague from Salesforce, Mary Fratto Rowe as our new EVP and Chief Customer Officer. Mary will lead our global client success, professional services and consulting and client delivery organizations. She will be responsible for the entire end-to-end client and partner experience with Yext.  In Mary’s most recent role at Salesforce, she was Senior Vice President of the Customer Success group, responsible for the America’s Professional Services where she oversaw a team of more than 1,300 people. During her more than 13 years at Salesforce, Mary was responsible for more than 1,000 customer implementations globally and worked directly with the company’s largest and most complex customers.  She also led the global advisory services division of the Salesforce Success Cloud advising customers on the most strategic solutions for their businesses. I worked with Mary for more than a decade at Salesforce and have seen Mary’s incredible impact on customer success first hand.  We are so excited with the upcoming Answers product launch and the customer energy and enthusiasm going into Onward.  So I will now turn the call over to Steve to walk you through the quarter in more detail. 
Steve Cakebread: Hey, Jim. It was a solid quarter. And a quick note before we get into the numbers. I just want to remind you that we adopted ASC-606 in the fourth quarter of the prior year and ASC-842 for lease accounting last quarter.  Our second quarter revenue grew 32% to $72.4 million, that’s above the high-end of our guidance. Our small business revenue just for reference was $3.2 million for the quarter. Unearned revenue which we formerly reported as deferred revenue prior to our adoption of 606, increased 42.4% from the year ago period to $122.7 million.  Due to the lumpiness of our enterprise business, we will see variability in this balance throughout the course of the year and as a reminder, last year our unearned revenue was high due to our largest initial deal ever signed, Morgan Stanley.  As of July 31st, we had $259 million in remaining performance obligation or RPO which is relatively unchanged from Q1 and our backlog includes another $32 million of revenue that’s under contract that’s subject to accounting exclusions. On that basis, we have $291 million in estimated future revenue under contracts.  Our overall net revenue retention dropped to about a 108% and that’s below our traditional 110%. But it was driven by some mergers, a partner in Europe that was closing business and one of our other European partners who serves a very small end of our business line reduced their license count as renewals to their solutions slowed. We do expect overtime to return to our more traditional levels.  Gross margins were 73.4% this quarter, a slight decrease of 100 basis points over the second quarter last year and that’s driven primarily by the timing of some one-time publisher fees. We remain comfortable that gross margins will continue to be in the mid-70% range.  Total OpEx increased from $60.3 million last year to $83.4 million this quarter. The primary drivers of this increase was the overall growth in headcount, including the increase in our quota carrying sales rep count, a long list of new leases in New York, District of Columbia and London. We will be incurring double lease expense in New York until the completion of our new global headquarters in 2020.  Second quarter net loss increased from $19.4 million a year ago to $29.3 million this quarter. On the basis of our 111.8 million weighted average basic shares outstanding, net loss per share of $0.26 this quarter compares to a $0.20 loss a year ago. Non-GAAP basis net loss, excluding stock-based compensation increased from $8.4 million a year ago to $12.7 million this quarter. Our non-GAAP net loss of $0.11 per share this quarter compares to $0.09 in the year ago quarter and was $0.01 favorable to the high-end of our guidance. Please refer to the press release we issued this afternoon for a reconciliation of GAAP to non-GAAP results. Cash, cash equivalents, and marketable securities totaled $274.2 million as of the end of July 31, 2019. Net cash used in operations for the second quarter was $11.4 million as compared to net cash used in operations of $4.4 million in the year ago period. The biggest drivers again were the increase in headcount, and our new leases.  We’ve demonstrated over the last fiscal year, our business model is capable of generating healthy cash flow. As such, we decided to accelerate our investments in people and facilities in 2019. We’ve already begun to build out the mid-market sales team, which will start to come online next year. The ramp in sales cycles for a typical mid-market seller about half the time of an enterprise seller.  And these faster ramp times and overall size of the mid-market opportunities should help smooth the revenue lumpiness we experienced from landing larger size deals within the enterprise channel over the next few years.  As to guidance, in the third quarter, we expect revenue to be between $75.5 million and $76.5 million. And in the same period, we anticipate non-GAAP loss per share of between $0.18 and $0.19, which reflects the investments we need to make in facilities, people and all by the way, Onward is an event in Q3. This assumes a weighted average basic share count of approximately 113.6 million shares.  Turning to the full year, we are raising the revenue range that was $297 million to $300 million. It’s now guided to $299 million to $301 million. We are tightening our existing non-GAAP net loss per share range of between $0.41 and $0.43.This is based on assumed basic weighted average share count of approximately 111.9 million shares.  Let me turn it over to Howard about Onward in October. 
Howard Lerman : All right. In just nine weeks, over 1,600 marketers and search technology leaders are going to join Yext at the Marriott Marquis in Times Square for Onward 2019. And this year’s theme is the Future of Search. It’s October 29th and 30th.  Our attendees are going to hear from Magic Johnson, from Seth Gordon, from experts in today’s leading technology and in search including Google, Amazon, Bing, Trip Advisor and so many more as we discuss the paradigm shift in search from chaotic results to brand verified answers and we are going to launch Answers there. Onward has filled out every year and we hope to see you there.  And with that, operator, we will open up the line for Q&A. 
Operator: [Operator Instructions] And our first question will come from Koji Ikeda of Oppenheimer. Please go ahead. 
Koji Ikeda : Nice quarter guys and thanks for taking my questions. I had a question here on sales capacity. So, the business increase with sales headcount 35% year-over-year and that’s really great considering we are hearing the hiring environment is really, really tough out there.  I was wondering if you comment a little bit about the headcount between the enterprise and the mid-market segments and maybe comment a little bit on that 35% growth. Was that target or was that on target with the plan or maybe was that a little bit ahead of plan or behind plan? And I’ve got a follow-up for you. 
Steve Cakebread: Yes, so, Koji, a couple things here. Obviously, we continue to focus on enterprise and we’ve been hiring a number of enterprise sellers, but the big growth is obviously in mid-market. We’ve got Patrick Blair here. He is world-class in building that kind of business and a lot of the sellers we hired over the last couple of weeks have been mid-market sellers.  But we are on our targets. I mean, we are hitting our numbers. We feel good about it. The recruiting environment, you are right, it’s hard. But we are being with the leadership we have and the business model that we have, we are able to attract great talent. So, I feel real good about where we are going and sales capacity needs to get built up.  You’ll talk about productivity and I’ll sit there and say, gee, I am not in the 32 NFL markets, you’ve heard me say that before. I keep encouraging Jim to go to more markets, but New York, Chicago, San Francisco, Dallas, that’s a start, but we need to be in a lot more markets. So, we are going to continue to improve as Howard described some really exciting products coming up in the future. 
Koji Ikeda : Got it. Thanks for that. And as a follow-up, how should we be thinking about the pace or maybe the cadence of hiring for the rest of the year? Thank you and a great quarter. Thanks for taking my questions. 
Howard Lerman: Yes, Koji, good question. I mean, it is a process. And so it does take a little bit of time and we are doing global, because we are also hiring people in Europe, as well. So, we have goals. We’ve been on track on those goals and I don’t see any reason why we won’t continue to be on track with those goals till the end of the year. 
Operator: Our next question comes from Naved Khan of SunTrust. Please go ahead. 
Naved Khan: Yes, thanks a lot. Maybe a quick clarification on the sales headcount. I guess, it’s a pretty robust pace of hiring. But if I have to think about, if you are leaning more towards mid-size versus enterprise, is it more on the mid-size headcount that’s making up the new hires? Or how should we be thinking about that? 
Howard Lerman: I think a couple things here. One is, we’ve never had a mid-market. So the numbers you are going to see obviously show the fact that we are starting from zero and building that. but we are still hiring enterprise sellers and putting in regions and like I said, we are not in enough cities in the U.S. let alone Europe. So, there is a conscious balance there.  It just looks like and you are going to hear the numbers look grand because good market as you know are smaller deals with more people, but they turn quicker cycle. So, that we are looking at both and obviously you will see numbers that will keep coming up. I don’t know, other than to say when we find great sellers we are going to hire on and it’s not going to matter whether it’s enterprise or mid-market. 
Naved Khan: Thanks. And then, thanks for breaking out the legacy SMB revenues. Can you guys talk a little bit about the growth in this enterprise how – I think last quarter you said, enterprise had grown close to 40%. Is enterprise still growing somewhere in the high 30s, is it the right way to think about it? 
Howard Lerman: Yes, I think if you look at our Q2, there is a couple opportunities that we had. One is we had a monster Q2 last year, so our compares are, if you will for this quarter a bit challenged, because when you drop a big deal like Morgan Stanley it’s tough to replicate that. Right now which is enterprise business, which is timely and deal-driven, so, I wouldn’t read too much into the changes and our growth rates in enterprise. The team is doing a great job. They are hitting – their overall marks and we feel comfortable about where we are out with that. It’s just that we had a monster compare last year and we feel really good about pipeline and where we are going for the rest of the year. 
Naved Khan: Great. Thanks guys. 
Operator: Operator Our next question comes from Brent Bracelin of KeyBanc. Please go ahead. 
Brent Bracelin: Great. Couple of questions if I could. I’ll start with Howard. This is more of a technology question, but it does look like, Google did announce a change in their core algorithm. I think that was back in June. Can you remind us when Google makes big changes to the algorithm, how does that impact customers and then how does that impact your business as well? And then, couple other follow-ups. Thanks. 
Howard Lerman: There is no real impact, because what we do, Brent, is help customers organize all the facts in their knowledge graph and build Pages and also sync them in the maps. So, there has been, I think, dozens of changes all the time and there – what we were focused on is getting the right answer to the end-user.  When someone asks a question about Burger King we want to make sure that the correct answer is there, and Google’s algorithms are going always try to help the user get the right information. So, we don’t see a business impact from algorithm changes in Google as we are focused on getting the right answers out there. 
Brent Bracelin : Super helpful. And then, I guess, shifting gears to Jim here on kind of the Answers product. I know Howards sounds excited about it. We will learn more about it. but I was just trying to understand as you think about just the packaging, pricing, how should we kind of think about Answers?  Is the intent to lead with the Answers suite and that becomes the main product of the bundle? Walk us through kind of packaging, pricing and positioning around kind of the Answers product. It certainly seems like there is a lot of interest there. But just want to understand the go to market around it. 
Jim Steele: First off, the go to market is fundamentally a little different because the TAM for Answers is every single business that has a website. Every single business that has a website needs to be able answer a question. And that’s our opportunity.  So, instead of being limited to accounts that had physical store locations or had physical people at a place, now we have significantly increased the number of accounts that we can go after and that changes how you think about doing marketing and doing some demand gen and doing thought leadership and how you get out there to drive in-bound demand.  So, those are all opportunities to do more on top of what we are doing now to get our reps bigger territories and to get them doing more stuff. That’s the first thing. Now in terms of the pricing and packaging, you will have to come to Onward and stay tuned for what that’s going to be. I am not ready to announce the prices are going to be.  But you can think about it being almost exactly like we sell Pages and Listings today where a customer has got to buy our knowledge graph platform. It’s priced per entity per year. Once you have an entity like I’d say a doctor in the knowledge graph then you pay an additional license fee if you want to put him in Listing.  You pay an additional license fee if you want to build a page and if you want that entity to show up in Answers, you will pay an additional license fee for that too. So it’s going to be all built on the knowledge graph platform. The Answers is our third product that you can now buy on top of knowledge graph in addition to Listings and in addition to Pages. 
Brent Bracelin : Got it. Super helpful. And then, Jim, as you think about a much larger opportunity around Answers, are you rethinking kind of go to market at this point? How do you broaden the reach?
Jim Steele: Well, definitely as Howard mentioned, any company that has a website we talk about CPG and use the Campbell’s example, it opens up a whole new set of opportunities for us and in many, many more accounts that we – in the past, if we were looking at our market opportunity like we described in the S-1 and when we went public a couple of years ago, it’s all about what was in Google Maps or 100 million companies in Google Maps and we looked at that as about a $10 billion TAM.  Now, it completely changes, because you have all these companies that don’t, they are not location-based necessarily. But they have customers, consumers that are getting on the website that want answers just like they go to Google to find and we want to give them that same experience that they have when they are in these third-party search engines, once you get to a website.  So that it improves that customer experience and ultimately has a higher conversion rate to close revenue for that company. So our market in part of why we are adding a lot of sale people as we see tremendous opportunity in our existing market with Listings and Pages, but now we are basically adding a third major application on top of the platform that’s knowledge graph and all leveraging the same kind of data set. 
Brent Bracelin: Got it. Helpful color there. Just a couple of quick ones here for Steve, here obviously, if I wanted to start with calculated billings, this has been a pretty volatile metric if I look back over the last couple of years, it hasn’t been all that indicative. But it is the lowest growth rate we’ve seen in a couple years. So, was that just tied to tough compares?  Was linearity a little different this quarter? Was it the partner-driven stuff? Walk me through the factors that impacted billings kind of this quarter. And then just could you touch on the gross margin? That also fell, I think below 75% for the first time in a while. So just walk me through those two issues. Thanks. 
Jim Steele: Sure. So, as you know, as you know I am not a big fan of your calculated billings number because, we have a mix of billings between quarterly, semi-annual, monthly, et cetera. So, it’s not really reflective and interestingly enough, every time we beat your number, it’s been great and every time we miss your number, it’s a problem and I don’t think we’ve had any problems with billings this quarter.  We are on our plans. We feel really good about what’s going on. I just think that metric is very volatile for a small business of our size, primarily when it’s driven by large enterprise deals that they enough themselves timing is everything. So, if I had a deal last quarter or this quarter that moved a couple days your calc number would be very, very different.  So, I don’t really focus on that calc billing. But I do look at making sure we are generating growth in deferreds or unearned revenue is the new thing and we did that and RPO or our backlog continues to look solid. So, I can’t help you on the calculated billings issues there. But I think we are on track for where we want to be.  And in terms of gross margins, we’ve always said that, we do pay R&D fees for some of our new publishers and depending on the timing, you are going to see that number move up and down. I still feel really comfortable that we are in the mid-70s as the gross margin that’s going to stay there. We brought on some interesting new publishers that made some payments this quarter.  And they’ll manifest themselves as you see it in the ongoing and future years for this stuff. But there is no fundamental change in gross margin. It’s a timing issue in terms of payments. 
Brent Bracelin : Very helpful color and I’ll see the floor. Thanks. 
Jim Steele: Thanks for asking me the questions.
Operator: Our next question comes from Mark Mahaney of RBC. Please go ahead. 
Mark Mahaney : All right. Two, if I could just keep following up on that gross margins, Steve, but it did sound like there was something one-time-ish is it a one-time-ish publisher fee issue? Is it just the timing issue? Just clarify that. And then, going back to, I know somebody asked about the Answers, Yext answers and package and pricing. And I guess, you are going to hold off on providing a lot of detail on that.  But I think you said there were eight Yext Answers deals in the recent period or in the last quarter. So maybe let me try this. With those two – with those add-on sales to existing customers with those lead sales the customers you would had and had before and would one of those have been was the Campbell’s Soup Company, was that one of the customer since that would be more natural for them since they don’t have the retail locations anymore.  Color you can give on what the market opportunity - I get the market opportunity, but what the go to market strategy or the success has been so far with that? Thanks. 
Howard Lerman: Mark, it’s kind of funny when you think about what Answers is it’s structured search. Every other product in the world index-based search which gives you documents back when you search for something. That’s actually how Google works where there is two parts to Google, if you search for McDonalds, the very first thing you’d see might be maps and knowledge cards that’s structured answers powered by a knowledge graph and then, under that you see links which are powered by their index-based search. They blend them together to give the user a certain experience.  And so, with all the existing site searches that’s out there, it’s all index-based or document search and where Yext has an enormous advantage in a head start isn’t structured search which are all powered off in knowledge graphs. For every single one of our existing customers, we have a knowledge graph that contains collectively more than 200 million facts.  And so, the ability to give an answer back from structured comes from having all that structured data. So, for any of our existing customers, it’s pretty straightforward for Yext to spin up in answers instance and be able to answer questions about their business because we already have their knowledge graph. We already have their data.  We are putting into to Google. We are putting it into all these other places. And so, we can show up to a demo with Answers kind of almost, I don’t want to say totally done, but a pretty good working demo and say hey, let’s run a quick site search challenge. Run P&G, go ahead and search for Tide on your own site and you are going to get Vietnamese and all these weird results back.  That’s your number one product. It’s kind of a weird result for your end-user and by the way your website is featuring prominently your search box is right in the middle. Now, let’s look it around and run a search that gives you the actual answer and gives you information about the product and availability that the product that gives the end-user that customer, the answer there.  And that is index search versus structured search. And so, in our case, because we already have all these knowledge graphs, we got a huge head start for any existing customer of Yext in getting them answers. That’s going to be a core part of our go to market without a question.  But in addition to that, you have the potential new logo here is, you heard Steve say it, you heard Jim say it, it’s a significant amount more than we’ve ever been able to go after before and of the eight deals, for example Campbell’s Soup is entirely new logo.  We never had any relationship or the ability to – they don’t have physical store locations and you have this category, CPG it’s endemic of the fact that oh my gosh! every single one of these brands is a website. People are hitting it all the time and they are searching for stuff and getting junky answers and when they get a junky answer, they go right back to Google and then Google shows the competitor ad and the company has lost control of the customer journey.  They might have lost the customer and that’s not a good thing. And so we can show up with something that just work to simple to install. Now when it’s a new logo, we’ve got to get the information into the knowledge graph. For an existing customer, we don’t have to do that. Although a core part of the packaging here is, hey, go ahead, let’s take a large hospital system.  They may want to start with doctors and then as they see the searches that are coming in that they are not answering as people are searching for example for symptoms, they may want to add back to their knowledge graph, they’d have to pay for additional entities, entity license is in the knowledge graph and in Answers.  And there will be a whole program around how that’s all going to work. So, we see a great feedback cycle here between the ability for someone to – within a company to see a question that's being asked and to put entities into Answers and into the knowledge graph and I think you may have asked - also asked a question about gross margins?
Mark Mahaney : Yes.
Howard Lerman : Yes. So, on the gross margins, Mark, these are one-time engineering payments that we pay the new publishers. Timing is sometimes uncertain because it's when they complete it. And so we had some one-time publisher payments that came in at this point in time.
Steve Cakebread : And they are new publishers.
Howard Lerman : And they are new publishers.
Steve Cakebread : And you're going to have to come to ONWARD to see who they are. We're very excited about it.
Howard Lerman : Yes. 
Mark Mahaney: Okay. Thank you, Steve. Thank you, Howard.
Steve Cakebread : Yes.
Howard Lerman : Yes.
Operator: Our next question comes from Mark Murphy of JP Morgan. Please go ahead.
Matthew Coss : Hi. Good afternoon. This is Matt Coss on behalf of Mark Murphy. Thanks for taking our questions. Any update you can provide on billing term distributions, yearly, semi-annual or monthly? And if you can't get too specific, what does a percentage of business billed annually look like today, perhaps versus a year ago?
Steve Cakebread : Yes, you know, we don't really get into that, because it does move around. I mean, we try and get everybody on the annual. But it's also true that some accounts will take quarterly for the first year and move annual.  So, rather not get into the details, because it moves around a lot based on our deal flow. But I'll just say, I appreciate the challenge you have that calculated billings is probably not a good indicator of what we are – how our business is doing at the moment.
Matthew Coss : Okay That's fair. And I know you have a few insurance companies as customers. Since you've talked about in the past. They tend to have thousands of seats. Can you update us on some of the things these customers are doing? Maybe ROI they are getting? Additional products they're adopting. What the expansion rate, those multi-thousand seat customers look like?
Jim Steele : Sure, this is Jim Steele. You know, we showed, I think during the S1, kind of a cohort of a typical actually it was an insurance company and they find start this across the board where they might start with kind of a base package and then, as they look for additional regions, they expand both geographically as well as upgrade to ultimately our ultimate package, which includes reviews.  So, first it's kind of crawl, walk, run with a lot of these customers. They like to start to see what the value is. They can track the number of clicks. They can see the conversion rate. They know how many phone calls you are getting driving directions. And it's a very clear set of KPI's that they can track to see what that value is. So, yes, that's a typical - I mean, we are very focused and not just the insurance companies, but, you know, obviously financial services is one of our very biggest industries. Healthcare is very big as well and food, retail and many of these companies start with a base package and they grow from there. They upsell, we upsell them to, greater value package and they also add the additional licenses as they expand.  And now with Answers, that gives us a whole new opportunity to go back to these customers and say, hey, you know, you care about providing brand verified answers everywhere, not just in the third-party ecosystem, but also on your own website. So let's leverage that knowledge graph that Howard was talking about.  Every one of our customers has knowledge graph to power Listings and also Pages, so, now we can go back and say, hey, we can also help you get the same kind of experience for your customers and the same kind of conversion rates, if we provide this Answers product.
Operator: Our next question comes from Tom White of D.A. Davidson. Please go ahead.
Philip Rigby : Hi, this is actually Philip Rigby on for Tom. Thanks for taking my questions. For Campbell's did Answers displace another vendor at Campbell's? Or is this a whole new feature for them?
Howard Lerman: I don't know the answer to that specific question, but one of the coolest things about site search is that, the way we are going about this. Remember, Google blends the other document search and structured search. Sometimes structured search can answer the question directly or give you all the information right there.  Other times, maybe it's better to link to a document that you might have to read for more context. So when you search for many results in Google, gives you back a blend of both structured search and index search together.  We are completely and we've designed our product to be able to integrate with most other site search vendors to place Answers or structure search on top of index search, so that, we can co-exist with another index-based search vendor.  So that the end-user can get a answer and get links to the documents back without necessarily displacing another vendor, but with significantly enhancing the customer journey where they start. And by the way, when someone searching on your own brand's websites, those are your best customers. Those are the people that are looking for the most specific questions that are hunting for the deepest details.  That's when you've got to really give them the answer that they are seeking. Otherwise, if you don't answer their questions, somebody else will.
Philip Rigby : Great. Thank you. And appreciate all the color you gave on Europe and Japan. Any other international countries or regions you want to give us a little bit more color on?
Steve Cakebread : Nope, I mean, it's been strong for us. There are – our Northern or UK business has been outrageous. A lot of the logos that Jim talked about or names were from Northern Europe. So, Southern Europe, Italy and France have been very strong. Versace obviously, it’s a great Italian brand. Calzedonia, like we’ve really been strong in Europe and Japan. It's really been terrific as well.
Howard Lerman: Yes, so, we keep trying to get all the men's fashion line, because we're hiring so many sales reps. They got to get new clothes.
Philip Rigby : Thanks, guys.
Operator: Our next question comes from Stan Zlotsky of Morgan Stanley. Please go ahead.
Hamza Fodderwala : Hey, guys, this is Hamza Fodderwala in for Stan. Thank you for taking my questions. Just wanted to follow-up on the international question. So, can you give us any more color as to what percent of revenue is coming internationally today? How fast is that growing? And you mentioned Europe outside the UK, are there any other markets that you are particularly bullish on?
Jim Steele : So, we mentioned before this in the second quarter, 17% of our revenue is international and yes, definitely the UK is very strong, France and Italy and Germany as well. We have customers in Austria and Switzerland and other parts of Europe. And Japan really, we opened in Japan just about a year, a little over a year ago.  And we hired the CEO of sales force for our Japan business and he just did an amazing job in the past year, plus just building that business up. So that's the – that's where we are looking at. And we don't -- we haven't really focused on going to other countries at this point, because we have so much opportunity and now with Answers, we've just opened up a whole lot more TAM in the existing countries that we do business in. And of course, Canada's very strong for us as well. And of course, we have customers who have locations throughout the world. I think we talked about one hundred some odd countries, 150 or so countries that have Yext is driving their local Listings in those countries, but we don't have necessarily operations in all those countries.
Hamza Fodderwala : Got it. That's helpful. And are you - obviously, macros, you know, very top of mind for a lot of companies and investors. Are you seeing any, maybe signs of if not weakness, but like longer sales cycles or anything unusual either internationally or domestically at all?
Steve Cakebread : I'll take that. This is Steve. You know, our business has been so strong and I think we're doing very well. No macro influences at all other than some of us have to watch CNBC and watch the stock market go up and down. But that doesn't influence real business. So, nothing on our horizon. We feel very comfortable about where we're going and the business that we're talking about. And sales cycles are not getting longer.  Obviously, we bring in mid-market. We address a whole another market, sell cycles are actually shorter. So, we feel really good about where we're going in these particular markets, regardless of other influences outside of that.
Hamza Fodderwala : Got it. And just one more question, Steve. On the RPO metric, you mentioned that it was in line with Q1.
Steve Cakebread : Yes.
Hamza Fodderwala : Do you have the year-on-year growth for that metric. I am not sure if I got it.
Steve Cakebread : Yes. No. You know, we did adopted method that didn't provide year-on-year growth, which you'll start to see that, obviously next year. We needed to implement it fairly quickly, because we became an accelerated filer. So, all we could do is provide you that now.
Hamza Fodderwala : Got it. Okay. Thank you.
Operator: Our next question comes from Brett Knoblauch with Berenberg Capital. Please go ahead.
Brett Knoblauch : Hi guys, thanks for taking my question. The first one is for Howard. I think in your prepared remarks, you talked about how you are seeing an inflection point in the business and in particular going from a product-specific company to more of a platform solution. Can you just talk about the benefits that brings?
Howard Lerman: Sure, with our new Answers product, it sits on top of the knowledge graph. Every time a customer signs up or buys one of our three products Listings, Pages or Answers, they have to buy the knowledge graph platform. They have to put the entities into storage to be able to power those entities and then buy an additional license in Listings or Pages or soon to be Answers.  The more knowledge your customers have in the platform, the more valuable each of those products are number one. And then, also it's easier for us to come up with new products like we just did with Answers. And with Answers, we have a huge head start and being able to sell that to all of our existing customers that are already on our platform.
Brett Knoblauch : Okay. Thank you. And then, just – I guess a clarification question. Is Answers the same thing as Yext Think when you first announced that?
Howard Lerman: Correct. That's the official brand. Think was our beta name, and after we took it out into the market, we have coined it Yext Answers..
Brett Knoblauch : Okay. Thank you. And then, maybe just some commentary on Onward. Could you compare maybe the pipeline you have coming to Onward versus the pipeline you had coming last year? I don’t know, if you can give specifics or not?
Jim Steele : I don't know there is a lot more people.
Howard Lerman: It's bigger. I’ll tell you what, were you there last year?
Brett Knoblauch : I was.
Howard Lerman: Yes, when we killed off Jim, it was so popular. Number one, I'm going to be the biggest companies in Germany, the Mexico has asked us to repeat that exact keynote in a week in Cologne in front of 10,000 German marketers. So, if anybody is in Cologne next week, we'll see you there. But about Onward, we couldn't do it at the same facility. We actually were asked not to come back.  So, we'll be doing it at the Marquis, which I love them, because Marriott is a customer of Yext. But I really just don't like the carpet there. Despite the carpet, which looks a little bit like Jim’s sport coat right now, we're going to be – I think having a bunch more people relative to last year. There is - capacity is a lot bigger. And we fill that every time. 
Brett Knoblauch : Okay. Thank you. That's very helpful. And then maybe one for Steve. Could you just talk about your view on where you are seeing net retention going towards the back half of the year?
Steve Cakebread : Yes, we’ve had no problems in our enterprise and mid-markets obviously just getting going. So it's hard to comment on that. But I think, we'll build that back up. Like I said, we had one of our partners just go out of business. That's going to take some looks and we've continued to have some mergers and acquisitions, go on that took some locations down.  Keep in mind, we have a trailing twelve month calc. So it will take a little bit of time to move that back. But feel real comfortable. There is no systemic issues here. It's just kind of the normal course of business when you are dealing with large companies. 
Brett Knoblauch : All right. Thank you, guys. Appreciate it. Look forward to seeing you soon.
Howard Lerman: Yes. See you at Onward. 
Howard Lerman: See you on at Onward. Well thank you, guys. That concludes our call for today. We'll continue our conversations throughout the quarter. Operator?
Operator: At this time, we will now take you back to the ONWARD 2019 teaser. The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.